Operator: Good afternoon, everyone, and thank you for participating in today’s Conference Call to discuss Autobytel’s Financial Results for the Third Quarter Ended September 30, 2015. Joining us today are Autobytel’s President and CEO, Jeff Coats; the company’s CFO, Kimberley Boren; and the company’s outside Investor Relations Advisor, Sean Mansouri with Liolios. Following their remarks, we’ll open the call for your questions. I would now like to turn the call over to Mr. Mansouri for some introductory remarks.
Sean Mansouri: Thank you, Sharon. Before I introduce, Jeff, I’ll remind you that during today’s call, including the question-and-answer session, any projections and forward-looking statements made regarding future events or Autobytel’s future financial performance are covered by the Safe Harbor statements contained in today’s press release, the slides accompanying this presentation, and the company’s public filings with the SEC. Actual events may differ materially from those forward-looking statements. Specifically, please refer to the company’s Form 10-Q for the quarter ended September 30, 2015, which was filed prior to this call, as well as other filings made by Autobytel with the SEC from time to time. These filings identify factors that could cause results to differ materially from those forward-looking statements. There are slides included with today’s presentation to help illustrate some of the points being made and discussed during the call. The slides can be accessed by clicking on the link in today’s press release or by visiting Autobytel’s website at Autobytel.com. When there, go to Investor Relations and then click on Events and Presentations. Please also note that during this call and/or in the accompanying slides, management will be disclosing non-GAAP income and non-GAAP EPS, which are non-GAAP financial measures as defined by SEC Regulation G. Reconciliations of these non-GAAP financial measures to the most directly comparable GAAP measures are included in today’s press release and/or in the slides, which are posted on the company’s website. And with that, I’ll turn the call over to Jeff.
Jeff Coats: Thank you, Sean. Good afternoon, everyone. Thanks for joining us today to discuss our third quarter 2015 results. The record third quarter was driven by our higher-margin advertising segment, led by AutoWeb; expansion with our OEM partners; and the addition of Dealix, which continues to outperform our expectations. We continue to retain a greater amount of Dealix revenue than expected, while removing dealers and suppliers that do not meet our margin and quality requirements. Dealix is already contributing positively to net income, as we work toward full integration by year-end. Subsequent to the quarter, we acquired our performance marketing partner, AutoWeb, which dramatically strengthens our technology leadership in the automotive digital marketplace. We’ve already started to pursue several promising cross-sell opportunities, while also beginning to realize synergies across our technology platforms and data methodologies. I will provide more information on these exciting developments, but first I’d like to turn the call over to Kim and have her take us through the important details of our financial results for the third quarter. Kim?
Kim Boren: Thanks, Jeff, and good afternoon, everyone. For those of you following along with our earnings presentation, on slide 4, you can see our third quarter revenues increased 47% to $40.2 million, compared to $27.4 million in the year-ago quarter. The increase was primarily driven by the second quarter Dealix acquisition, coupled with growth in advertising revenues. Lead revenue from automotive dealers or retail channel, increased 19%, to $15.3 million. Lead revenue from automotive manufacturers and wholesale partners, our wholesale channel, increased 71%, to $20 million, driven by the Dealix acquisition and several OEMs increasing their lead volumes with us. Advertising revenues were $3.2 million, a 58% increase sequentially and 194% increase on a year-over-year basis. Our display advertising business continues to increase, as the traffic to our owned and operated segs grow and is monetized through our relationship with Jumpstart. We also experienced a significant increase in click revenues during the quarter, both through our commercial relationship with AutoWeb as well as through the increase in traffic revenues from the Dealix acquisition. A summary of our relationship with both AutoWeb and Jumpstart can be found on slide five. Moving now to slide six, you’ll see that we delivered approximately 2.8 million automotive leads during the third quarter, a 63% increase over the last year. Retail new leads increased 18% compared to the prior-year quarter, while used leads increased 22%. 75% of leads were delivered to the wholesale channel with the remaining 25% to the retail channel. The increase in wholesale leads was driven by the acquisition of Dealix and increased demand across several OEMs. Retail new leads invoice per dealer was up 11% year-over-year in the third quarter of 2015, and retail used leads invoice per dealer was up 3% in the same period which further illustrates our shift in focus to larger, more profitable dealers. We delivered over 104,000 specialty finance leads during the third quarter relatively flat from the corresponding year-ago period. Specialty finance lead revenue was $1.7 million in the third quarter, down 5% from the year ago period. On slide seven, you’ll see dealer count stood at 5,022 as of September 30, which is an 11% increase since Q3 of last year and a 4% decrease from June 30, with the decrease driven by expected dealer churn from Dealix. Similar to last quarter, Dealix’s churn has actually been less than expected as we have implemented lessons learned from our experience with the AutoUSA integration, combined with the dealer education initiative launched in early 2015. Through this, we have seen dealers actually increase the volume of high-quality leads purchased through our program. On slide eight, you’ll see that we continued to experience strong page view growth in the third quarter, with total page views up 73% year-over-year to 106 million. As you can see, we were relatively unaffected by Google’s most recent algorithm update in July. We plan to continue driving more traffic to our sites, as we build and adopt new data methodologies through the acquisitions of Dealix and AutoWeb. Now, moving to slide nine, gross profit during the third quarter increased 39% to $15.3 million, compared to the year-ago quarter. Gross margin was 38.1%, compared to 40.2% one year ago. We anticipated this reduction in margin as a result of the Dealix acquisition. As you probably remember, Dealix historically had gross margins of approximately 32%. So, we are pleased with the rate at which gross margin is returning to pre-acquisition levels. Total operating expenses in the third quarter were $12 million, compared to $9 million in the year-ago quarter. As a percentage of revenues, total operating expenses decreased 310 basis points to 29.8%, compared to 32.9% in the third quarter of 2014. This improvement reflects the operating leverage in our business. On a GAAP basis, net income increased 44% to $1.6 million or $0.14 per diluted share on 11.5 million diluted shares, compared to $1.1 or $0.11 per diluted share on 11.1 million diluted shares in last year’s quarter. For the third quarter, non-GAAP income, which adds back amortization on acquired tangibles, non-cash stock-based compensation, acquisition costs, litigation settlements, severance costs and income taxes increased to 103% to a record $5.2 million or $0.45 per diluted share compared to $2.5 million or $0.23 in the year-ago quarter. Cash provided by operations for the 2015 third quarter increase 85% to $5.1 million, compared to $2.8 million in the prior-year quarter. On slide 10, you’ll see that our cash balance remains strong with cash and cash equivalents of $18.8 million at September 30, compared to $20.7 million at the end of 2014. While total debt grew to $28.3 million compared to $18 million at the end of 2014 to help fund our acquisition of Dealix. As a reminder, we purchased AutoWeb on October 1, in an all-stock and warrant transaction and therefore had no direct impact on our cash-for-debt for the third quarter. Slide 11 reviews the acquisition and its strategic rationale. I’d like to take this time to highlight a few details of the AutoWeb transaction specifically with respect to share count. Let’s start on slide 12 with the stock. We issued 168,000 shares of Series B junior preferred stock, convertible into Autobytel common stock at a 1-to-10 ratio. If we assume these shares receive shareholder approval for conversion, they will effectively become 1.68 million shares of common stock at $16.77 per share, the closing price of Autobytel’s common stock on September 30. Now on to the warrants. We issued warrants to acquire an additional 148,000 shares of Series B preferred stock, which would convert into approximately 1.48 million shares of common stock. The exercise price for the warrant is a $184.47 per share at Series B preferred stock, which assuming conversion of the warrant shares translate to $18.45 per share of common stock, representing a 10% premium to the $16.77 closing price of our common stock on September 30. Now the critical takeaway here is that these warrants will not be exercisable until the weighted average of our stock price [indiscernible] at three different levels, and maintain those levels for at least 30 consecutive trading days. These levels are $30, $37.50 and $45 per share. Also, regardless of hitting these benchmarks, the warrants cannot be exercised before October 1, 2018. For example, if the weighted average of our stock price is $30 per share for at least 30 consecutive trading days next year, the first 49,000 warrants will be exercisable into 49,000 shares of Series B preferred stock after October 1, 2018. A similar scenario will play out if the weighted average of our stock price hits $37.50 and then $45 per share. These shares and warrants incentivize the AutoWeb management team, to drive value at Autobytel. And given their strong track record of building successful online businesses, we believe we are well positioned to capitalize on this growing digital advertising segment of the auto industry. In closing, I’d encourage all analysts and investors to pay particular attention to our share count going forward. As of September 30, our total diluted common shares outstanding stood at 11.5 million. In the fourth quarter of 2015, we expect diluted common shares outstanding to be approximately 13.3 million as a result of the AutoWeb transaction with full-year 2015 average diluted shares outstanding projected to be approximately 12.2 million. In 2016, we expect quarterly diluted share count to remain around 13.3 million, contingent upon our share price and assuming current outstanding shares, warrants, options, and convertible debt remain constant. With that, I’ll now turn the call back over to Jeff. Jeff?
Jeff Coats: Thanks, Kim. Our third quarter was highlighted by record top and bottom line results, driven by a combination of Dealix, strong growth in advertising, our continued shift to provide more internally generated leads, and our execution of dealer education. Our Dealix integration remains on track and has once again outperformed our quarterly revenue and margin contribution expectations. As mentioned earlier, through lower than planned dealer churn and strong volumes, Dealix is already contributing positively to our bottom line, and we expect full integration by year-end. Operationally, we’ve cleaned up that business significantly by eliminating hundreds of unprofitable dealers and reducing lower-quality lead suppliers. Our acquisitions of Dealix, as well as AutoUSA, support our mission to deliver the highest quality leads for both the new and used car markets, which I’ll expand upon later in the call. Moving on to our Advertising business powered by AutoWeb and Jumpstart, for new listeners on the call, AutoWeb is our pay-per-click programmatic advertising marketplace targeting the auto industry. The AutoWeb proprietary technology analyzes web traffic and adjust advertiser cost based on traffic quality and content. In short, our AutoWeb platform provides dealers and OEMs with access to some of the highest intent car shoppers on the Internet and propels our company into the fast growing pay-per-click market. We will continue to market our pay-per-click products under the AutoWeb name. Earlier this summer, we launched a new product called Autobytel Direct, a pay-per-click platform powered by our AutoWeb and Autobytel technologies. Autobytel Direct continues to gain traction across our retail dealer partners, although the online traffic is still ramping up the early feedback from dealers has been positive especially when this clicked traffic is compared to any other website traffic currently available. Also, some of our large dealership groups are recognizing the benefits of directing this high quality, high intent traffic to their consumer phasing websites, as we have several initiatives already in process. We expect these initiatives to supplement our various avenues for growth and of course highlights and reinforces that we do not put our brand or our pricing strategy between our dealer customers and their consumers. Our partnership with Jumpstart also continues to meaningfully grow as we increase sales of fixed placement advertising across all of our websites. They’re still significant runway for growth, as we continue to drive traffic to our sites. As Kim noted, page-views increased 73% year-over-year to a 106 million page-views, demonstrating the strength of our search engine marketing platform and high-quality content across our sites. As indicated on slide 13, our estimated average buy rate for Autobytel internally generated leads in the third quarter was 20%, 200 basis points higher than our estimated buy-rate during the second quarter. And as you can see on slide 14, has derived IHS Automotive reports, these estimated buy rates have remained consistently strong for over the last three plus years with autobytel.com generating an average of 24%, and all Autobytel internally generated leads at about 18%. For those of you new to Autobytel, we remained confident in our estimated buy rates largely due to our comprehensive relationship with IHS Automotive, which provides us with a credible, consistent and quantifiable way to measure the conversion of online leads into actual vehicle sales. These higher conversion rates are confirmed by monthly sales max reporting, which is offered to retail dealers at no charge, so they can review the actual return on investments from their Autobytel leads. I’ll remind investors that IHS Automotive awarded Autobytel the 2015 IHS Spectrum award. This prestigious industry accolade spotlights organizations around the world that make decisions and achieve business goals through innovative use of information and analytics. Since the award’s inception in 2006, more than 100global organizations have been recognized for their accomplishments, and Autobytel is one of only four automotive-related companies to ever have won this award. Autobytel’s ongoing use of IHS vehicle registration information helps our analytic teams continually optimize lead conversion and provide valuable data to our partners and industry clients. Our leading-edge SEM teams have also used this and other data to push our percentage of internally generated leads up to approximately 80% in Q3. Moving on to our used car business. As Kim and I noted earlier, used car lead revenue in the third quarter grew 22% year over year and 22% sequentially. Our used car business remains a focal point for growth and we’ve continued to increase the level of resources dedicated to sales and marketing for our used car business, as well as ramping the investment in our used car platforms for an internal lead generation with special focus on the highly successful buying site, usedcars.com, which we recently acquired through Dealix. As a reminder, retail used car leads only represent about 7% of our total leads business today and approximately 11% of revenue, even though used car sales in the United States are two to three times that of new car sales. Dealer-facing marketing and training remains a key initiative for us. The marketing is designed to highlight the value and return on investment of Autobytel leads and also reminds dealers that the consumer price discussion is left up to them, as Autobytel strives to build the dealer brand and not our own. We have been ramping our sales and customer support teams to help drive this important initiative, which is reflective of the stabilized dealer churn and increase in volumes from former Dealix customers. On slide 15, you’ll see, how our pay-per-lead model compares with pay-per-sale. At our estimated average, current buy rate of 18% for leads, we delivered to our dealer customers the hypothetical paper sale in our model is about $120 assuming a $22 price per lead. Even at an 8% average dealer close rate, which is significantly less than our high quality leads, but more in line with other lead providers, the equivalent pay-per-sale is only $275. Moving on to the industry outlook, as you can see on slide 16, J.D. Power has its total has its total light vehicle sales forecast for 2015 at 17.3 million units, a 200,000 unit increase since we’ve reported this forecast on our Q2 call, and retail forecast at 14.2 million units a 300,000 unit increased since our last call. The October retail, seasonally adjusted annual run rate or SAAR was expected to be 14.3 million units, which is down 1 million units from September 2015 but up 770,000 units from October 2014. Now, moving onto our outlook, for 2015 on slide 17. We are reaffirming our fiscal 2015 revenue guidance to range between $132 million and $134 million, representing an increase of approximately 24% to 26% from 2014. However, we are increasing our outlook for non-GAAP diluted EPS in fiscal 2015 to range between $1.20 and $1.24, an increase of approximately 45% to 49%. Our primary focus for 2015, as always, is to provide value to all of our customers which we believe will ultimately translate to enhanced value for our stockholders. Through the continued growth of our dealers, high-quality leads, our value-added products, and our recent acquisitions of Dealix and AutoWeb, we expect to carry our momentum through 2015 and beyond to capitalize on the evolving consumer and automotive marketplace. At this time, Sharon, we’d like to open the call to questions.
Operator: Thank you. [Operator Instructions] Your first question comes from Eric Martinuzzi from Lake Street Capital. Please proceed.
Eric Martinuzzi: Congratulations on the strong Q3 and the acquisition of AutoWeb. Wanted to specifically dive into the guidance for 2015, which is basically – given that we’re down to the final quarter of the year, we’re talking about the Q4 guide. The revenues, I’m pretty much there right where you guys have given guidance to, but the EPS, given the size of the Q3 be, I was surprised that the EPS was conservative – relatively conservative I guess versus what I was expecting. So, can you dive into that? I assume it’s something on the cost side, something probably tied to AutoWeb. Is it a gross margin issue? Is it OpEx that kind of gets beat up here in Q4?
Kim Boren: Yes. So and there are a couple of things. So, one is the denominator on the diluted share count is stronger in Q4. As we mentioned in the script, it will be 13.3 million shares roughly, is what we’re estimating at this point in time. So, in the fourth quarter and leading into the end of the year, we’ll have some tailwinds in that diluted EPS. That’s the primary driver. And then, you alluded to it. We’ve got costs coming in with the AutoWeb acquisition. So, we’ll see those coming through in the fourth quarter since the acquisition took place on October 1.
Eric Martinuzzi: Okay. And if I go back to the slide – I forget which slide it is, where you kind of do a deep dive on the OpEx, but we were at $12 million. I think, for – I’m looking at slide 9 now, and this is the column under Q3. The operating expenses for Q3 were $12 million. Do you have an idea of what those will be for Q4?
Kim Boren: We do. We do have an idea. We aren’t necessarily – I can give you an idea that I think it will increase around 10%.
Eric Martinuzzi: Okay. All right. And then just one more quick if I could? The leads, obviously very robust, continues to upside surprise us here. To me, the number that stood out was that wholesale growth being up 71%. What is behind – you talk, it wasn’t just one OEM, it was several OEMs that are ramping their leads programs. Why – obviously, I appreciate the ROI here, but what do you think is behind this? Is it the quality, the ROI, are there bigger ad budgets? What’s driving that upside?
Kim Boren: We believe that the OEMs recognize the quality coming from our leads, and they’ve chosen to increase their budgets with us, regardless of what they are doing with other lead supplier, so we firmly believe that the quality has driven the increase.
Eric Martinuzzi: Okay, thanks for taking my questions.
Operator: And your next question will comes from Gary Prestopino from Barrington Research Please proceed.
Gary Prestopino: Good afternoon, everyone. Hey, did you give what the internally generated leads were in the quarter versus last year, I don’t recall writing it down.
Jeff Coats: It’s about 80% internally generated during the quarter Gary.
Gary Prestopino: And what was it last year about 72% or something like that?
Jeff Coats: It was 70%, 72% yes. As you may recall, we mentioned on the last call that we’ve started focusing on generating more of our lead volume internally, and cutting out, quite a few outside suppliers, particularly some of those that we acquired as part of Dealix. So that we could focus on generating and providing to our customers a higher volume of higher quality leads.
Gary Prestopino: Okay, and then you also said, your retail used car leads were up 7%, or they encompass 7% of your leads, did I get that right?
Kim Boren: Yes they encompass 7% of our leads.
Gary Prestopino: Okay, the question I would have is, where do you, where would you like to see that go, in terms of your lead generation, I mean, used cars are three times the sales of new cars, is it possible that that used lead percentage could get up to 50% to 60%, and is there any differential in the price you charge for a used versus a new.
Jeff Coats: It is possible that we can get the used car leads, up to 50% of our retail business. Retail and wholesale are different from that standpoint. But on the retail side, that’s our goal. It will take us two-plus years at least to do that, but we have been adding more resources to it in our Tampa operation and focusing more of our sales and customer support organization on that also. So, we’re very optimistic about our growth there.
Gary Prestopino: Is there any price differential or are they basically the same price?
Jeff Coats: There’s a little bit of a price differential. The used car leads go for a little bit higher price, historically. It is not the large differential that you see in the pay-per-sale model however.
Gary Prestopino: Okay. Last question and I’ll jump off is, are you seeing any change in the incentive behavior by the OEMs and the dealerships in the market? Anything out of the ordinary beyond what happens seasonally, Jeff?
Jeff Coats: We do seem to see it a little more robust than we have for a while. Sometimes, it’s kind of hard to tell seasonally anymore. Usually, this quarter we don’t see quite as much. But last year as we’ve discussed, we saw a lot of automotive manufacturers take advantage of Black Friday opportunity, which was never really done historically. We expect to see that again this year. We know there is a lot more ad dollars coming into the fourth quarter this year than there has been historically. And that does not seem to have been taken out of any of the earlier quarters. So, there’s been nice ad growth overall this year. So I think we may be seeing the beginning of a new phenomena in the automotive industry, where the fourth quarter is more robust.
Gary Prestopino: Yes, usually -more people are getting cars for Christmas.
Jeff Coats: Right. Right.
Gary Prestopino: Thank you.
Operator: [Operator Instructions] And our next question comes from John Blackledge from Cowen. Please proceed.
John Blackledge: Thanks. I have a couple of questions. How do you feel about your positioning with the dealers now, and then how should we think about new franchise dealer count growth next year and maybe longer term? And sorry, I hopped on late, so I don’t know if you answered that. And then, I have a follow-up after that.
Jeff Coats: We feel pretty good about where we are from a dealer count standpoint. We do expect to see our dealer count grow through 2016. We have quite a few new initiatives to help drive growth in retail revenue and dealer count, some of which are beginning to come online this quarter, most of which will come online during the course of 2016. So, we do expect to continue to grow the retail end of the business without additional acquisitions.
John Blackledge: Okay. The key drivers of that growth would be just kind of ROI and...
Jeff Coats: I’m not sure – I follow. I mean in terms of why would dealers do business with us? Is that what you mean?
John Blackledge: Yes. Because you had – there is another competitor that reported tonight that had a drop-off in dealers. And so, like – they – unclear whether they’ll be able to necessarily grow dealers at the rates they did in the past. And whereas you’re saying that your dealer count should grow next year. So, just wondering about the value proposition for Autobytel with the dealers?
Jeff Coats: I think it is primarily driven by return on investment, which encompasses quality and price and everything, and we really don’t get between the consumer and the dealer in our business model. We really try to bend over backwards not to, which is not the case in certain other models. So, we feel like we’re extremely well positioned right now. We’ve pretty much rolled up the high end of the leads business. We are really focused on high-quality and delivering more down-funnel buyers to our dealer, manufacturer, customers, and we’re seeing the benefit of that. That’s what’s driving the increase in our wholesale revenue and candidly, that’s what is driving the robustness in our retail revenue and the expected growth in dealer account next year.
John Blackledge: Okay. Great. And just one follow-up. You had a good relationship with AutoWeb, made an investment and then acquired it. Just wondering, is there more room for a consolidation? Are there any, maybe not holes, but areas where you can even strengthen even more potentially via acquisition?
Jeff Coats: There are definitely other areas that we can either reinforce in our existing business through acquisition or add to our existing business. Several very interesting, very attractive opportunities out there. So, we always kind of keep our finger on the pulse of what’s going on. We would expect to continue to make occasional acquisitions as we go forward.
John Blackledge: Thanks. Thanks so much.
Jeff Coats: Thank you, John.
Operator: At this time, this concludes our question-and-answer session. I would now like to turn the call back over to Mr. Coats for closing remarks.
Jeff Coats: Thank you, Sharon. And thanks, everyone, for joining us today. I also want to thank our team of dedicated employees. This year has been a very robust year for Autobytel and our employees. We’ve now completed two really game-changing acquisitions and doubled the size of our employee base as a result of that. So, we’re extremely excited about this year and 2016. And we look forward to speaking with our investors next in Los Angeles at the LD Micro Conference on December the 3. Thank you very much.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.